Operator: Good day, and welcome to the Nova Limited Fourth Quarter and Full Year 2024 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask question. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Miri Segal, CEO of MS IR. Please go ahead.
Miri Segal: Thank you, operator, and good day to everybody. I would like to welcome all of you to Nova's Fourth Quarter and Full Year 2024 Financial Results Conference Call. With us on the line today are Gaby Waisman, President and CEO; and Guy Kizner, CFO. Before we begin, I would like to remind our listeners that certain information provided on this call may contain forward-looking statements, and the safe harbor statement outlined in today's earnings release also pertains to this call. If you have not received a copy of the release, please view it in the Investor Relations section of the company's website. Gaby will begin the call with a business update, followed by Guy with an overview of the financials. We will then open the call for the question-and-answer session. I'll now turn the call over to Gaby Waisman, Nova's President and CEO. Gaby, please go ahead.
Gaby Waisman: Thank you, Miri, and thank you all for joining us today. I will start the call by summarizing our fourth quarter and full year performance highlights. Following my commentary, Guy will review the quarterly and annual financial results in detail. Nova ended the fiscal year on a high note with record revenue and profitability, outperforming industry indices. Our revenues grew 30% year-over-year and reached $672.4 million, while non-GAAP net income grew 38% -- we have cemented our position across multiple device segments and achieved numerous milestones across our product lines, including strategic penetrations into leading manufacturers, and evolving position in new segments and a growing market share. Our agile operational model and strategic focus continue to generate value to our shareholders, enabling us to drive higher profitability while relentlessly growing our business. Our performance this year was driven by our materials metrology solutions record sales, coupled with a growing adoption across market segments. Additionally, the growing revenue from advanced packaging processes underscores the importance of our dimensional and chemical metrology solutions. This broad-based growth highlights the strength of our diversified portfolio and our ability to capitalize on multiple market opportunities. Turning to the fourth quarter record results and our sixth consecutive quarter of growth. We exceeded the top end of our guidance in revenue and non-GAAP profitability. Our record quarterly revenue was driven by the robust sales of the VeraFlex, Elipson and Metrion platforms. This success was augmented by record sales of our dimensional stand-alone OCD solutions that saw heightened demand due to their unique capabilities in gate-all-around and advanced packaging applications. These results underline our ability to meet the evolving needs of our customers and maintain our competitive edge in the market. Looking forward, Nova is poised to leverage the transition into advanced manufacturing processes and architectures. We expect our growing exposure to new market segments and our differentiated portfolio to drive sustained growth into 2025, continuing the momentum we have built. The surge in AI-related demand has been a significant driver of our market, as it necessitates Energy-efficient computing power and accelerates the demand for, advanced processing nodes and memory solutions. Our customers are leading the transition to 3D architectures, which translate into multiple catalysts for our business, including larger and more complex dies that require a growing number of wafers, a higher number of layers and a leap in the number of process steps, at a much smaller tolerance for error. Increasing complexity drives the need for high-quality metrology solutions, which Nova is well positioned to provide. Let me share some highlights from 2024 and the recent quarter. First, we are encouraged by the broad adoption of Nova's comprehensive portfolio across Gate-All-Around and High-Bandwidth Memory processes. Leading foundries, logic and memory manufacturers, are increasingly integrating multiple Nova solutions from our optical dimensions, materials and chemical metrology portfolio. This widespread adoption underscores our ability to address the complex metrology challenges associated with manufacturing, the most advanced semiconductor nodes. Our unique solutions for 2.5 and 3D structure applications, are pivotal in enabling our customers to achieve the precision and efficiency required for current and next-generation technologies. Our advanced packaging revenue more than doubled this year, reaching 15% of product revenue and signifying its growing importance to Nova. Our integrated metrology solutions have been adopted by four of the top five advanced packaging manufacturers, while our stand-alone OCD market share in the segment grew significantly. With the recent addition of Sentronics, we expect our revenues of advanced packaging to grow further. Sentronics modular, dimensional metrology technology will enable us to diversify our offering into the rapidly growing field of advanced Wafer Level Packaging, and Specialty devices and into additional wafer sizes and types, beyond 300-millimeter Silicon wafers. Along with Nova's Optical CD Standalone and Integrated Metrology, we can offer customers a rich portfolio for critical applications in both back-end and front-end fabrication processes. Sentronics builds highly modular multi-sensor platforms with proprietary sensors and software that extend the range of applications we can solve. Some key examples that are critical to advanced packaging includes, total thickness variation, topographies for roughness measurements and wafer bow and warpage. Following the deal closing announced last month, the post-merger integration teams are working diligently to tighten collaboration and align activities, while maintaining focus on execution, meeting delivery time lines and business goals. Now let me review some of the highlights from our product divisions. In the dimensional metrology division, our integrated metrology earned new market share in multiple segments, including advanced packaging and HBM, expanding our TAM and securing our market leadership. Our standalone OCD solutions had a record year and increased our market share, driven by high demand from numerous customers, due to their high productivity, precision and unique offering. The Nova PRISM platform sales grew at high-double digits year-over-year with multiple engagements with both front-end and advanced packaging customers. To meet market demand, we recently launched the Nova Velocity, the next generation of the successful high-productivity platform, MMSR. Driven by increasing demand for productivity and yield improvements, Velocity features a unique dual chamber configuration that enables the highest productivity in standalone tools in the market. The platform's speed and robustness have been a deciding factor for a leading logic manufacturer who adopted the platform and is expected to purchase multiple tools. These achievements highlight our ability to deliver innovative solutions that cater to the needs of our customers. Next, our materials metrology portfolio delivered record quarterly and annual results. As we shared in early January, the Metrion platform was adopted by a leading global memory customer for its most advanced DRAM R&D as well as DRAM and NAND high-volume manufacturing lines. Metrion was selected based on its ability to perform full wafer measurements of epitaxial layers with high sensitivity and precision. We expect to receive additional orders from this customer. In addition, the platform is currently being evaluated by two of the top five customers in memory and logic, and we anticipate receiving orders from them later this year. The VeraFlex platform saw a market transition and broad adoption of its fourth generation, becoming the tool of record for several leading foundry and memory customers. The Nova Elipson platform performed well this year with repeat orders from a leading memory customer and penetrating to two new major customers. Looking ahead, we have strategic foundries already planning to use the platform for strain and material concentration measurements. The performance of our materials metrology portfolio attests to the value of our solutions and their critical role in advanced semiconductor manufacturing. Our Chemical Metrology division had a record growth year at a high double-digit rate. Significant highlights include the AncoScene market share growth in front-end customers and the Ancolyzer proliferation with memory customers for HBM. Additionally, we have ongoing evaluations with memory and foundry customers, which we expect to materialize later this year. Finally, our Service division delivered another record quarter and year, with 2024 revenues growing 19% year-over-year, driven by increasing demand for capacity and yield improvements. In terms of market outlook, our industry continues at an upward momentum, driven by end market demand for mobile and AI and the investments in building and matching capacity in advanced logic nodes, DRAM and advanced packaging. We expect WFE to grow at mid-single digits this year, driven by leading-edge demand. In summary, our well-established fundamentals will help us increase exposure to additional opportunities in adjacent markets and processes, new customers and new critical applications. Our strategic priorities remain intact with continuous investment in our long-term road map and by partnering with our customers across all territories. In 2025, we expect to capitalize on the opportunities created by our enhanced market position, continue our growth trajectory and outperform WFE. We will elaborate on our strategy and vision at our upcoming virtual Investor Day on March 17, and we look forward to seeing you all there. Now, for some more details on our financials, let me hand over the call to Guy.
Guy Kizner: Thanks, Gaby. Good day, everyone, and thank you for joining our 2024 fourth quarter conference call. I will begin by reviewing our financial achievements for the fourth quarter of 2024, then summarize our performance for the full year and finally, provide guidance for the first quarter of 2025. In the fourth quarter of 2024, total revenue reached a record high of $194.8 million, making it the third consecutive quarter of record-breaking results. This performance exceeded the company's guidance, reflecting a 9% quarter-over-quarter increase and 45% growth year-over-year. These achievements demonstrate our strong ability to anticipate, capture and respond to evolving market demand. Product revenue distribution was approximately 72% from logic and foundry and approximately 28% from memory. Product revenues included 3 customers and 4 territories, which contributed each 10% or more to product revenues. In the fourth quarter, blended gross margin aligned with our guidance, achieving 56% on a GAAP basis and 58% on a non-GAAP basis, well within our target model range of 57% to 59%. Operating expenses increased to $54.5 million on a GAAP basis and $48.9 million on a non-GAAP basis. A significant portion of the increase was directed towards expanding our R&D efforts, ensuring we stay ahead in innovation and technology leadership. Operating margin in the fourth quarter reached 28% on a GAAP basis and 33% on a non-GAAP basis, surpassing the upper range of our target model of 27% to 31%. The effective tax rate in the fourth quarter was approximately 15%. Earnings per share in the fourth quarter on a GAAP basis were $1.58 per diluted share, and earnings per share on a non-GAAP basis were $1.94 per diluted share, exceeding the high end of our fourth quarter guidance. Moving on the annual results for the calendar year 2024. Revenue increased 30% year-over-year, in a year where the industry experienced moderate growth, our ability to scale at this pace demonstrates the strength of our business model, the value we bring to customers and the effectiveness of our long-term strategy. The geographic revenue split in 2024 was as follows; China was 39%, Taiwan was 20%, Korea was 18%, US was 14% and other territories contributed the remaining 9%. Gross margin for the year came in at 58% on a GAAP basis and 59% on a non-GAAP basis, at the high end of the company target model of 57% to 59%, despite cost pressures and the industry-wide supply chain dynamics, we maintained robust profitability through operational efficiencies, pricing discipline and continued focus on higher value solutions. Operating margin for the year came in at 28% on a GAAP basis and 33% on a non-GAAP basis. Earnings per diluted share on an annual basis came in at $5.75 on a GAAP basis, and $6.69 on a non-GAAP basis. Achieving a record high EPS this year, underscore our ability to drive profitable growth by effectively converting top line expansion into bottom line value. Our disciplined approach to execution, operational efficiencies and strategic investments has allowed us to scale, while maintaining strong financial performance. This milestone reflects the strength of our business model and our commitment to deliver sustained value to our shareholders. Turning to the balance sheet. We ended 2024 with $820 million in cash, cash equivalents, bank deposits and marketable securities. During 2024, the company generated $218 million in free cash flow and presented healthy parameters related to working capital management. In addition, the company deployed approximately $48.5 million in cash as follows; approximately $30 million was deployed for share buybacks and approximately $18.5 million was deployed to facilitate the early conversion of 9% of our outstanding convertible notes with the par amount paid in cash and the remaining balance settled in shares. At the end of January 2025, we completed the acquisition of Sentronics Metrology, deploying approximately $60 million in cash for the transaction. As a result, Sentntronics' financial results will be consolidated into Nova, starting in February 2025. The acquisition aligns with our strategic growth priorities, and we expect it to be accretive on a non-GAAP basis within 12 months. Our guidance reflects the impact of this combination. Now let's move to our guidance, which factors in the acquisition. We currently expect revenue for the quarter to be between $205 million and $215 million. GAAP earnings per diluted share to range from $1.75 to $1.91, non-GAAP earnings per diluted share to range from $2 to $2.16. At the midpoint of our first quarter 2025 estimates, we anticipate the following; gross margins of approximately 57% on a GAAP basis and approximately 59% on a non-GAAP basis, operating expenses on a GAAP basis to increase to approximately $60 million, operating expenses on a non-GAAP basis to increase to approximately $54 million; financial income on a non-GAAP basis to remain similar to that of the fourth quarter. Effective tax rate is expected to be approximately 15%. With that, we will be pleased to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Atif Malik with Citi. Please go ahead.
Atif Malik: Hi. Thank you for taking my questions and nice results. Gaby, the first question on advanced packaging. So you doubled your sales last year, 15% of product sales. I assume majority of the sales were driven by your Oncosys or chemical metrology products. Can you talk about your aspirations for advanced packaging sales for the current year?
Gabriel Waisman: \ Definitely, thank you so much for the question. So first, the advanced packaging had contribution from both our chemical metrology division as well as the dimensional metrology division. We have our integrated metrology in all of the top five advanced packaging manufacturers, and we have a significant adoption of our PRISM standalone OCD platform. So it's both divisions that contributed to this growth. And we do expect this year to expect to continue and grow by double-digit growth.
Atif Malik: Great.
Gabriel Waisman: On top of that perhaps another – excuse me, one more thing that with your permission, I'd like to add is that with the addition of Sentronics, we do expect to fuel our growth as we move in with this platform to additional customers and grow the adoption over there as well.
Atif Malik: Great. And one for Guy on the services growth last year, a very strong 19% growth. Some of your peers have talked about a more muted services growth this year, primarily because of 200-millimeter equipment slowdown in China. So if you can talk about the services growth outlook for this year as well as any impact from the restrictions that came on late last year to either services or system sales this year?
Guy Kizner: Yes, of course. So this year, as you mentioned, service businesses grew by 19%. This growth was fueled also by increasing utilization of the tools in 2024 compared to 2023. When we're looking ahead, our model assumes for the service to grow between 10% to 15% and this is what we expect for 2025 as well.
Atif Malik: And the impact from restrictions?
Guy Kizner: We don't see a significant impact on the services from the restriction part.
Atif Malik: Thanks.
Operator: The next question comes from Vivek Arya with Bank of America. Please go ahead.
Unidentified Analyst: Hi, this is [indiscernible] on behalf of Vivek. Thanks for taking our question. On memory versus foundry logic, I'm curious how you're thinking about the demand into 2025 and which segment do you expect to grow faster? Thank you.
Gaby Waisman: Thank you. So, we do expect advanced logic and advanced packaging to lead the pack in 2025 with the growth. We definitely see the HBM segment as part of the advanced packaging growing with the metrology intensity as well. But the bottom-line is it's definitely advanced logic and advanced packaging.
Unidentified Analyst: Got it. And then one on gross margins. Obviously, a recovery into Q1, but that's also at the high end of your long-term range. So, could you talk about the drivers that are driving the expansion in Q1? And then what would it take for you to reach above that 60% point again? Thank you so much.
Guy Kizner: So, our gross margin, we remain committed to our target model and believe that given the business dynamics we anticipate heading into 2025, we will continue to demonstrate strong gross margins. Our ability to sustain healthy gross margin reflect the value we bring to our customers through differentiated technology, strong execution and operational efficiencies. While there may be some quarter-to-quarter fluctuation due to product mix, and market dynamics and market conditions, we are confident that our long-term margin profile remain intact. So, as we mentioned before, the quarter-over-quarter changes can fluctuate mainly due to product mix. But on an annual basis, we will be on our target model. Reaching above 60% is challenging, but it's -- the main unknown is basically how successful we will be with the new product and so forth. So, our model dictates the -- and reflects the current business dynamics that we have.
Operator: The next question comes from Ezra Weener with Jefferies. Please go ahead.
Ezra Weener: Thanks for taking my questions. Two quick ones. One, we're seeing HBM, two different kind of stories out of your peers. How do you see the competitive market and capacity build there? And then the second is China. Obviously, you guys have a pretty high amount of revenue coming from China. What do you see there kind of long term as a lot of your peers are seeing that come down? Thank you.
Gaby Waisman: So, in terms of HBM, so first of all, we see advanced packaging growing very significantly for us. We're at the infant stages with regards to our dimensional metrology portfolio. And the majority of our business with advanced packaging at the moment is with the logic side with the 2.5 the architectures. But there's definitely buildup on HBM. And as I mentioned, the process control intensity is growing over there as well, which means that we have a higher appeal to both our chemical and dimensional portfolio. So, we do see growth in high-bandwidth manufacturing as well. Could you repeat the question about China?
Ezra Weener: Yes. Just -- you guys have pretty high China exposure and a lot of your peers are seeing their China exposure come down as some of these pin sales come up. Just want to know what you're seeing in China for all of 2025.
Gaby Waisman: Sure. So in 2024, the China share of our overall sales was 39%. Our strength there is in line with industry peers. And due to the fact that growth this year will come from advanced nodes, we see the share of China declining.
Ezra Weener: Thank you.
Operator: The next question comes from Vedvati Shrotre with Evercore ISI. Please go ahead.
Vedvati Shrotre: Hi. Thanks for taking my question. So I have two questions. So one is you talk about your contributions from the Sentronics acquisition, what you expect for this year and what your target growth rates are longer term? And then what's the -- like the margin profile of this portfolio versus the materials metrology or chemical metrology portfolio?
Gaby Waisman: So the line is a bit broken, so I hope I understood the questions correctly. But overall, Sentronics last year had about 10% of a $200 million TAM market. Our first quarter forecast already includes the revenue from the relative period Sentronics will report under Nova. We closed the deal on January 30. And we do expect an upside to materialize as we progress with the post-merger integration. And we are very enthusiastic by the level of engineering we see in the solutions and the fast growth of Senttronic's main markets.
Guy Kizner: And regarding the question about the financial model, so Sentronics aligned well with our financial model, which is one of our criteria in our due diligence process for any acquisition. And as we previously stated, the deal is accretive, and we expect it to contribute positively to our financial results. So I would say it's more or less fit to our financial model in terms of gross margins and operating margins as well.
Vedvati Shrotre: Understood. And then on the chemical metrology, you're increasing your -- the footprint, the manufacturing there. how -- like what would the -- have you kind of quantified the revenue potential you could get from those facilities?
Gaby Waisman: So we've just opened up a completely new facility in Bad Urach in Germany. This facility, which is also environmentally friendly, hosts all the different units of the Chemical Metrology division under one roof and is a state-of-the-art building. We do expect the capacity to be able to drive the business forward. Obviously, as the business continues on its upward momentum, we will adjust the capacities accordingly.
Vedvati Shrotre: Thank you.
Operator: The next question comes from Matthew Prisco with Cantor. Please go ahead.
Matthew Prisco: Hey, guys. Thanks for taking the question. I guess, first, can you walk us through the drivers of the strong sequential growth into 1Q across maybe end market products and including what the Sentronics acquisition contribution is? And then over the past few quarters, you've been increasing revenues roughly $15 million, $20 million per quarter. Are those types of sequential increases sustainable as we move through 2025? Thanks.
Gaby Waisman: So we don't give forecast for the entire year, but we do expect to outperform WFE. I think that we have very strong end markets driving the industry, whether it's AI or HPC and mobile, we are all acquainted with the fundamentals over there that translate both to investments in advanced nodes, especially advanced logic as well as the advanced packaging. And we definitely see our position across those markets as fundamental in order to support our continued growth into the year.
Matthew Prisco: And anything on the 1Q color on where you're seeing that strength and what the Syntronix contribution is?
Gaby Waisman : So as I mentioned, the first quarter forecast include the revenues from the relative period Sentronics will report on the Nova. And you can deduct from the fact that Sentronics had about 10% of a $200 million TAM market last year as to the level of business that we expect in -- especially at least in the first quarter.
Matthew Prisco: Perfect. And then as a follow-up, can you help walk us through the translation of these material metrology design wins to revenue? For instance, Metrion's recent selection by a leading memory manufacturer -- does that mean shipping one tool to a fab for high-volume production? And then how quickly does that tool proliferate across fabs? And then what's the process and typical timing of customers expanding the number of tools per fab? Just any color into how we can think about better modeling the opportunity going forward?
Gaby Waisman : So first of all, we are very excited about this recent adoption, focusing on R&D for DRAM as well as 3D NAND. We do expect proliferation into high-volume manufacturing with this customer. And we believe that this market, which is for measuring the profile of multiple layers in these kind of areas to continue and drive the adoption. We mentioned the fact that we have, at the moment, two additional evaluations with key logic and memory manufacturers that we expect to materialize later this year. And this is the first introduction of such an in-line SIM tool. We expect the adoption to start with about one tool per fab as we experienced when XPS was adopted 15 to 20 years ago and then, of course, increase the number of tools per fab as more applications and higher utilization of the tool will happen. So eventually, we believe and we hope that the kind of adoption rate that happens with the XPS will repeat itself with the Metrion. We can't anticipate the exact timing of such an adoption of more than one or two tools per fab, but we have a lot of room to grow with Metrion, both with the number of customers as well as with a number of fabs as capacity grows, and we're very excited about the opportunity as it unveils with Metrion.
Q – Matthew Prisco: Helpful. Thanks, guys.
Operator: The next question comes from Mark Miller with The Benchmark Company. Please go ahead.
Q – Mark Miller: Let me just express my congratulations on another record quarter. This is becoming routine for you guys. I was just wondering if you could discuss where you're seeing significant share gains in what markets?
Gaby Waisman: Thank you so much, Mark, for the comment. So we see a few areas in which we saw share gains. So first of all, in terms of the PRISM, standalone OCD, we saw share gains in both advanced manufacturing as well as advanced packaging. We saw increase in market share on the front-end side of the Chemical Metrology portfolio. We saw obviously high utilization and additional adoption of the XPS tools in Material Metrology. And we also gained some share on the integrated Metrology, especially as we entered into the advanced packaging space, both in the 2.5D architectures and logic as well as in high-bandwidth manufacturing.
Q – Mark Miller: In terms of your memory sales, could you kind of give a little more color in terms of what percent of the memory sales were high bandwidth memory? And what, if any, you're seeing from NAND?
Gaby Waisman: So I think that we need to address it as more as DRAM versus NAND or HBM versus other architectures with your permission. So obviously, DRAM was stronger than NAND. And if we put HBM as part of the DRAM, then that was the majority in terms of our memory business. HBM growth, of course, is higher in that respect compared to the DRAM one.
Q – Mark Miller: Thank you.
Operator: The next question comes from Charles Shi with Needham. Please go ahead.
Q – Charles Shi: Congratulations on the truly exceptional results. I really congrats the Nova team here. I have a question -- maybe two questions. Let me ask the first one. The Q1 guidance, if I flatline that numbers, that would imply a roughly speaking, 25% year-on-year growth in 2025. And I think you guided that WFE probably mid-single-digit. And I thought historically, you were expecting outperformance roughly 1.5x. But any reason for us to have a little bit more confidence that you're going to 5x the rate of WFE this year? Of course, you guys did well outperform in 2024, but what are the reasons for us to believe that, that vast outperformance will continue in 2025?
Gaby Waisman: Thank you for the comments, Charles. I think that the -- I think it has to do with two -- three major issues. One is the position that we have, especially with the unique value driven by the technologies that we offer. The second one is expanding our position into advanced packaging and seeing higher adoption. And the third one, of course, which drives that as well, is the Sentronics acquisition that gives us an opportunity to expand to additional customers than the ones that we are exposed to-date. I would top it all, of course, by the fact that we have a strong position in advanced logic, and that gives us grounds to believe that we have the fundamentals, the infrastructure in order to drive the growth into 2025.
Charles Shi: Thanks. Maybe another question on gate-all-around. I believe you mentioned, the gate-all-around revenue in 2024 was roughly high-single-digit of the product revenue. Based on your latest reporting, it sounds like, it's $40 million-ish. I think most of your peers are guiding gate-all-around revenue doubling, but your guidance seems to suggest that's a little bit more than doubling for you guys. Mind if you provide a little bit more color and as well in terms of where you are tracking to that $500 million in cumulative gate-all-around revenue from 2024 to 2026? Any additional quantitative color would be very helpful. Thank you.
Gaby Waisman: I'm not sure I can add more to the fact that we are committed to the $500 million from gate-all-around until 2026. We haven't changed our position in that respect. We will try to give more color during the Investor Day on March 17. But I think that the tracking that number gives a lot in terms of our confidence in making it this year as well.
Charles Shi: Thanks Gaby.
Gaby Waisman: Sure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Gaby Waisman, Nova's President and CEO, for closing remarks.
Gaby Waisman: Thank you, operator, and thank you all for joining our call today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.